Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Alarum Technologies Fourth Quarter and Full Year 2024 Corporate Update Conference Call. [Operator Instructions] This conference is being recorded today, March 20, 2025. Before we get started, I will read a forward-looking statements disclaimer. This conference call may contain in addition to historical information, forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. Forward-looking statements include statements about plans, objectives, goals, strategies, future events of performance and underlying assumptions and other statements that are different than historical facts. For example, when we discussed our first quarter or 2025 -- first quarter of 2025 guidance, our future strategy and long-term vision, our potential for continued sustainable future growth, the potential of long-term collaborations, future opportunities and success we are using forward-looking statements. These forward-looking statements are based on current management expectations and are subject to risks and uncertainties that may result in expectations, not being realized and may cause actual outcomes to differ materially from expectations reflected in these forward-looking statements. Potential risks and uncertainties include those discussed under the heading Risk Factors and Alarum's annual report on Form 20-F filed with the Securities and Exchange Commission, SEC, earlier today, March 20, 2025 and in subsequent filings with the SEC. All such forward-looking statements, whether written or oral, made on behalf of the company are expressly qualified by these cautionary statements and such forward-looking statements are subject to risks and uncertainties, and we caution you not to place undue reliance on these. On the call, the company will also present non-IFRS key business metrics. The non-IFRS key business metrics the company uses are EBITDA and adjusted EBITDA, non-IFRS gross margin, non-IFRS net profit or loss and non-IFRS basic earnings or loss per share or ADS. The exact definitions and reconciliations of these non-IFRS key business metrics are described in the company's fourth quarter and full year 2024 financial results press release, which is available on the investor's lobby on our website, alarum.io/alarum-investors-lobby/. I will now turn the call over to Shachar Daniel, Alarum Technologies Chief Executive Officer. Mr. Daniel, the floor is yours.
Shachar Daniel: Thank you. Good day, everyone, and welcome to Alarum Technologies Fourth Quarter and Full Year 2024 Results Conference Call. I'm joined today by Shai Avnit, our Chief Financial Officer. I will cover our progress, the trends we are seeing in the data collection market, our strategy and longer-term vision. Shai will review the financials and provide our quarter 1 2025 guidance. I will then come back for a short summary of our prepared remarks, and we will open the call for your questions. 2024 has been the most pivotal year for our company and which we believe will be one of the most transformative for the future of technology as the AI revolution is reshaping our role at an unparalleled pace. Despite market fluctuations, we continue to demonstrate financial resilience. In 2024, we fully executed the strategic vision introduced less than 2 years ago to focus solely on data collection while phasing out from other activities Alarum was engaged in. We launched cutting-edge products in the data collection domain and recognize initial revenues from those new products. We further solidified our financial position through operational profitability and cash flow generation. Annual revenue reached a record of high $31.8 million, of which 97% was attributed to data collection and adjusted EBITDA reached to a record of $9.4 million. 2024 marked our shift to redefine our business with data collection. But more than anything, it was the year in which we began realizing the true impact of the AI revolution and our critical role in this exchange era. In today's world, data is the new oil. It's a key driver of innovation, decision-making and gaining a competitive advantage. As data fuels AI, the companies that will lead this transformation are those that anticipate change, build the right foundation and position themselves for a longer-term relationship. This is exactly what we are aiming for at Alarum step by step. With the foundation of information access being redefined, websites, data sources and access restrictions are constantly being modified. We are witnessing a fundamental shift and intense battle between traditional websites, which have long served as the world's primary source of information and AI-driven platforms that now are threatened to replace them. In this new reality, data is increasingly becoming the most valuable asset in the competition between AI platforms and between AI and traditional web-based information sources. With that said, this evolving landscape is leading to a dynamic environment, higher volatility and revenue fluctuation across the industry. Alarum, too, is impacted by these trends at end benefiting at times challenged. Our strong financial position and strategic initiatives position us well for continued sustainable future growth. That said, we extremely believe we are at the once in a generation inflection point. Looking ahead and preparing the company for its next steps, we substantially expanded coverage of our IP network in 2024, power and critical data access for our customers worldwide. We enhanced infrastructure and capacity building a scalable global network, which is essential to handle massive data traffic. We are reaping the fruits of our investment in our introducing high-performance innovative products, with initial modest sales already recorded and growing interest underway. We continue to make inroads to data collection and labeling market. The website and blocker drives entry into the multibillion-dollar data collection market, enhancing access and efficiency. Our AI data collection ensures continuous data flow with a no-growth setup and the real-time AI adoption. Exiting 2024, we saw a spike in demand from AI-driven companies for high-quality, large-scale data extraction solutions. I'm very excited to share that in Q4 2024 and Q1 2025, we started initial AI model training and analysis trial projects, including data and video by new customers, including one of the world's largest corporations, a global online marketplace cooperation. We believe that this initial project could pave the way for a long-term collaboration with immense potential. As I've emphasized previously, our investment over the past years in growing our IP network was designed to prepare us for this moment and the demand from AI-driven customers validates our decisions. As we enter 2025 in prime position to serve as an enabler in today's evolving landscape. Yet, I would like to emphasize that capitalizing on massive long-standing potential requires patience in the long-term forward-looking approach. Fortunately, our profitability and operational efficiency have enabled us to build a strong cash-generating business that allows us to pursue relevant opportunities. At Alarum, we believe that success in a fast-moving market comes from vision, adaptability and strategic positioning. We have flexibility to focus on bold strategic moves that drive sustainable growth. With that, I will now turn the call over to Shai for a review of the financial highlights.
Shai Avnit: Thank you, Shachar. Hello, everyone. I'll begin with a summary of our key financial results for the fourth quarter and full year of 2024 comparing them to the corresponding periods in 2023 unless stated otherwise. After that, I will share our guidance for the first quarter of 2025. As noted at the beginning, the exact definitions and reconciliations of non-IFRS key business metrics are described in the company's fourth quarter and full year 2024 financial results press release. And the last housekeeping item before we dive in, the figures I will be presenting are rounded for simplicity. Now let's go to the results. Revenues in the fourth quarter of 2023 -- 2024 reached $7.4 million, up 3.7% from $7.1 million in the fourth quarter of 2023. The data collection portion increased to $7.2 million in the fourth quarter of 2024, 6.8% higher than the $6.7 million recorded in the fourth quarter of 2023. Full year 2024 revenues increased to a record of $31.8 million, 20% up from 2023. The data collection portion reached a record of $30.9 million in 2024, up 45.2% from $21.3 million in 2023. The data collection portion was 97% of the total revenues both on quarterly and annual basis, up from 80% in 2023 and about 45% only in 2022, clearly representing our business shift in a short period of time since announcing our strategic shift to focusing on data collection. Non-IFRS gross margin for the fourth quarter of 2024 was 74.3% compared to 77.2% in the fourth quarter of 2023. Non-IFRS gross margin for the full year 2024 grew to 77% from 74.3% in 2023. The change in these gross margin metrics is related to our strategic decision to enhance our IT network so we can address our customers' demand for stability, responsiveness and speed. Operating expenses in the fourth quarter of 2024 were $5 million compared to $3.6 million in the fourth quarter of 2023. The quarterly change was driven mainly by the increase in operations, primarily employee salary-related costs. On an annual basis, 2024 operating expenses were down to $17.2 million from $24.3 million in 2023. This was mainly due to last year's impairment costs of goodwill and intangible assets and the strategic decision to scale down of the company's consumer Internet access business operations. In the fourth quarter of 2024, we recorded financial income of $200,000 compared to an expense of $100,000 in the fourth quarter of 2023. For the full year 2024, we recorded financial income of $300,000 compared to a financial expense of $300,000 last year. The shift to financial income in the fourth quarter and full year 2024 was mainly driven by the higher interest income from cash deposits and lower financial expenses related to short- and long-term loans. IFRS net profit was $400,000 for the fourth quarter of 2024 compared to a net profit of $1.7 million in the fourth quarter of 2023, mainly correlated to the increase in operating expenses. 2024 IFRS net profit increased to a record of $5.8 million from a net loss of $5.6 million in 2023, mainly the result of revenue growth and last year's impairment costs of goodwill and intangible assets, partially offset by the increase in operating expenses. Adjusted EBITDA in the fourth quarter of 2024 was $1.5 million compared to $2.2 million in the corresponding quarter last year. 2024 annual adjusted EBITDA was a record $9.4 million, up from $5.2 million in 2023. Our current share count is 69.3 million ordinary shares or 6.9 million ADSs. On a fully diluted basis, the count is 80 million ordinary shares or 8 million ADSs. The fourth quarter of 2024 basic earnings per share were $0.20 per ADS on non-IFRS basis compared to $0.38 in the fourth quarter of 2023. On an annual basis, the 2024 basic earnings per ADS rose to $1.26 on non-IFRS basis, up from a loss of $1.14 in 2023. As of December 31, 2024, the company's shareholders' equity doubled to a record of $26.4 million from $13.2 million on December 31, 2023. The annual net profit, together with warrants and auctions exercises contributed to the $13.2 million increase. The company's cash, cash equivalents and cash investments balance, including accrued interest at the end of December 2024 were up to $25 million from $10.9 million on December 31, 2023. Our solid cash position allows us to sustain strategic investments and drive responsible business growth. Now to our guidance for the first quarter of 2025. As we look ahead, our revenue guidance reflects the ongoing shift in our market. We anticipate that the first quarter of 2025 revenue to range at $7.3 million, plus/minus 3%. The first quarter of 2025 adjusted EBITDA is expected to range from $0.8 million to $1.2 million. We are navigating a period of adjustment as the industry evolves. And while short-term revenue growth may be lower than in previous quarters, we remain focused on the bigger picture and on generating long-term and sustainable value for the company's stakeholders. With that, I'll hand the call back over to Shachar.
Shachar Daniel: Thank you, Shai. Opportunity is unfolding, and we are strategically positioning Alarum to be at the heart of this new world. As demand for data and scale increases and as AI continues to evolve those who choose the right path, those who look beyond the immediate horizon will emerge the industry's true leaders, and we are determined to be among them. Success will require bold long-term strategic decisions, and we are channeling our resources toward the development of cutting-edge solutions as we aim to analyze and anticipate the industry's needs with a clear vision, stamina, solid execution and a talented driving team, we are building a company poised for a long-term success. We will now open the call for the Q&A session. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger : You mentioned you are navigating a period of adjustment as the industry evolves and so revenue growth may be slower. Can you describe what you're referring to? And I guess I'm trying to reconcile that with comments such as once in a generation opportunity and a spike in demand that we've seen in the fourth quarter for large-scale data extraction?
Shachar Daniel: Okay. So I will divide -- thank you. So I will divide my answer for 2 parts. The first -- and by the way, both are connected. As I said, we're now seeing or starting now at the stage where companies or huge companies that are getting into the AI game approaching us in order to cooperate because as you know, our solution is basically can be a data enabler and can solve these challenges. Now as I mentioned also, I talked a lot about it in the past, in the last few quarters, it becomes -- we see a kind of huge, let's call it, competition between the AI platforms and the websites. Why? Because basically, the AI platform can replace the traffic that is coming into the website instead of it to stay in the AI to get all the customer needs. So for this reason, there is a kind of a technology war, let's call it, a war, just as a metaphor between the websites and the AI platforms and for this reason, we see a spike, and we see -- we feel a volatility due to the fact that websites are implementing kind of products that's supposed to stop or to halt AI engines from coming in. Websites are increasingly changed their structure in order to make the life of the AI platforms more challenging. And for this, now companies and the AI platforms and websites are basically now restructuring their paths in this new world. And this is the reason why the market and also us as part of it for the short term, experiencing a volatility and fluctuation in the demand. And the main reason is that we see that for the long term, when I talked about data and scale, these huge players need data in huge scale in order to train their AI models in order to stay up to date. So we see that for the short term, it might be spiked -- by the way here and there, as I mentioned, sometimes it can come in favor of revenues, sometimes it can take the revenues a little bit down. But for the long term, we see that this trend basically is something that is in the favor of us because we are the data enabler and our purpose and our target and the usage of our product is exactly for this need.
Brian Kinstlinger : So if I say it another way, your customer set is essentially in a period of determining their strategy given these changes with websites. And so they're not necessarily purchasing your product as quickly because they have to figure out where the landscape is headed. Is that right?
Shachar Daniel: Yes. Yes. Sorry to interrupt you. It's not -- it's sometimes that -- it's not that they are not purchasing our kind of product, it's sometimes they are going down for a limited period in order to restructure the business opportunity, to restructure the direction that they are going to. So we see that they might decrease usage, might stop or others might increase because they find their paths and direction. And with our products, they can basically go over these challenges. So it goes here and there.
Brian Kinstlinger : Got it. And so the net retention rate declined for the third straight quarter, is that a function of your customers, like you're saying here may have some less usage essentially?
Shachar Daniel: Absolutely. Still, by the way, still think that it's a very good NRR. But yes, you see also the volatility in the NRR, but basically, it comes direct from what we discuss now.
Brian Kinstlinger : Okay. And then in December, you highlighted a Fortune 200 company began to use your Website Unblocker for almost 6 months, maybe more. I can't remember from that announcement. Can you tell us the evolution of the volume of that? I'm curious, did it start small? Did it get bigger? Has it remained small? Just kind of want to understand how a big customer is thinking about using this.
Shachar Daniel: Okay. So basically, they are very satisfied. They increased usage. And small or big, it's an individual. I don't know how you see it, but it's -- at this point of time, it's in -- let's say, it's in 6 digits in U.S. dollars, and ARR, meaning the run rate, the annual run rate, it comes to more than $500,000 a year, the run rate of these customers -- of this customer so at this point.
Brian Kinstlinger : I guess, where do you see the opportunity 18, 24 months out with a large customer like this? Is this -- can you get twice that? Can you get 5x that? I mean, what is the opportunity for a large customer like that?
Shachar Daniel: Okay. So also here, I will define the opportunity for 2 parts. One is a regular, it can be huge, but still a regular customer that is using our product exactly for the needs that I just described. And of course, we can get much more than this, and it can come also to express in revenues and also in retention and sustainability because these customers are long-term customers. And here, it's a huge opportunity for us. The second part, which is -- I don't know if it's more interesting, but it's more strategic is the cooperation with those payers or giants that aiming to become a significant player in the AI game. And for this, they need a kind of strategic operation with a company with our products for the long term and to become basically part of their product, meaning to be the data enabler in this funnel of the AI solutions and platforms that will provide to their customers. So this can be huge. This also can be big, but both these two opportunities are the most exciting opportunities in this stage. But of course, as I mentioned, Brian, just to add also something related to the previous question, as you know, these customers take more time than regular customers, although it goes faster than expected. And second, it's the focus. So in my eyes, and not only my eyes, the management of the company, of course, we allocate most of the resources, the talent of the company, and the focus of the company in this future amazing, may be really once-in-a-lifetime opportunity for us.
Brian Kinstlinger : Great. Last question I have is if you can update us on any planned product launches as you built up the balance sheet, how do you think about M&A versus developing your own new products?
Shachar Daniel: Okay. So the first part of your question is about -- can you repeat for the second, you talked about M&A?
Brian Kinstlinger : Yes, I'm curious about planned new products and then how are you going to develop your own? Or how do you think about that versus acquiring companies that have complementary products?
Shachar Daniel: Okay. So I will -- new products in the space of data collection, the AI scrapers, the unblockers all these very unique products at this point of time, the plan, as we do it just in these days is internal development. We hired really talents from the Israeli ecosystem tech companies and intelligence units and we build our own products. And by the way, the react that we are getting from the market is amazing after they test our product. Here, if we see a unique opportunity, you know that we can buy or acquire an asset or a small company that can take us further, we will do it. But at this point of time, it's not the main plan. The main plan in the other side is to add the additional layer of the analysis, the AI, the analysis, the data insights, which here we are still considering in these days, what is the right direction we meet -- by the way, we met in the last 1 year with a lot of companies, and there are many opportunities now in the market. But we still consider if we go this or that direction. So at this point of time, and nothing specific that is on the table, meaning there is not any specific company that we see as an immediate opportunity. But I still think that the preferred direction in the insights and AI is to acquire a company that basically can take us further very fast and to help us close the loop of data collection and data scraping and then data analysis, all in one big solution.
Operator: Our next question comes from the line of Kingsley Crane with Canaccord Genuity.
Kingsley Crane : A couple of questions. So big picture, on paper, it makes sense that data collection should become more important, lower-cost model services, more models are using domain-specific data. It also seems that a lot of the new growth in data collection and labeling could be indexed to data types like audio and video. So I just wanted to dive a bit deeper in what you're hearing from these AI-driven customer conversations? How important are alternative data types to their model building strategy? And how do you feel like you're positioned there?
Shachar Daniel: Okay. So basically, a very good question because it's -- that's just -- as I said, that we feel that we are now in the period that everybody now are restructuring and -- restructuring their path in this AI world. And so we see that these -- especially big players that coming all into the AI and basically, instead of being, for example, a huge retail or marketplace company, in few years wants to call an AI company, so they need data and scale, video, audio and other kind of data. And they cannot do it -- maybe they can do it by themselves with internal developments, but they must have solutions like our scrapers, like unblocker and of course, like our IP proxy network in order not to be blocked in order to get them qualified and transparent data and in order to train their models in huge scales of data, they need a huge scale of data in order to stay up to date. And we see our industry or our sector and ourselves, of course, as a significant player as the one that's enabling them to collect the data and to focus on their business or on their technology or their intellectual property, which is the intelligence itself, the insights and the algorithm that can analyze data and provide insights or others.
Kingsley Crane : That's really helpful. So just to dive a bit deeper on that. Just regarding some of the fluctuations in demand in the near term. So it seems like if websites are making it more difficult to gather data based on some of the tactics they're employing and customers need more data, it seems like that would actually -- and then you're better at circumventing those tactics than your competitors. It seems like that would give you better positioning and potentially bring more customers. So I guess I'm just trying to get more clarity on what customers are saying when they're pulling back in the near term and reevaluating their strategy.
Shachar Daniel: Okay. So here, when we're talking about the short term, let's defer for a second from the AI players, and let's go back to the regular customers, those that are scraping and need to scrap data, to collect data for many, many purposes. So if a website investing much more these days in order to block or in order to sort those that are coming in. So for these websites, sometimes it becomes more challenging than in the past, and they need to halt in order to understand how they are going to do it now. Of course, that with our product, for us, it's a dream, yes, that's what we need. We need because we are a solution that can help this. You need -- if you don't have a problem, you don't need a solution. So if the problem is increasing, of course, that for us, it's great. But for the short term, we see that customers are basically getting, for example, from a website that is -- their popular website for scrapping come a massive or huge change. So they need to stop and now they need to redesign their product and need to redesign their business opportunity because it's also a question from their side, of course, of profitability because if they needed till now to invest that amount in IP proxy or in other solutions in order to enable them to collect the data now they need to spend more, so they need to stop and rethink and restructure the business plan, their prices. So we see that this period, when I'm saying a fluctuation, it can go up and down, but it's a period that companies don't know exactly what will happen tomorrow, and they are trying to path and to find the best direction for them in order to stay a player in this huge game because the world is going there definitely that if we see it all over. And the data is really the new oil. Everybody needs the data. Without data, you worth nothing in this world. That's the issue.
Kingsley Crane : That helps. I appreciate that. And so last, I just want to confirm. So the AI-related customer engagement, that was largely conversations in Q4, right, that was not materially impacting Q4 revenue? Or how much did that impact Q4?
Shachar Daniel: No. Okay. So materially impacted Q4 revenue, no. But it's not just discussions, meaning we are working together. And it's something that is progressing quite well, okay? I want to keep it -- for this call, I want to keep it at this stage, but it's more than discussions.
Operator: Thank you. We have reached the end of the question-and-answer session. And therefore, I will now turn the call back over to Shachar Daniel for closing comments.
Shachar Daniel: Okay. So thank you for your time today. We look forward to hosting you on Alarum Technologies First Quarter of 2025 Results Call. Thanks.
Operator: And ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.